Operator: Good day, ladies and gentlemen, and welcome to the Discovery Communications third quarter 2016 earnings call. At this time, all participate are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, today's conference is being recorded. I would now like to introduce your host for today's conference, Ms. Jackie Burka, Vice President, Investor Relations. Ma'am, please go ahead.
Jackie Burka: Good morning, everyone. Thank you for joining us for Discovery Communications' 2016 third quarter earnings call. Joining me today are David Zaslav, our President and Chief Executive Officer, and Andy Warren, our Chief Financial Officer. You should have received our earnings release, but if not, feel free to access it on our website at www.discoverycommunications.com. On today's call, we will begin with some opening comments from David and Andy and then we will open up the call for your questions. Please keep to one question so we can accommodate as many people as possible. Before we start, I would like to remind you that comments today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are made based on management's current knowledge and assumptions about future events, and they involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations, please see our annual report for the year ended December 31, 2015, and our subsequent filings made with the US Securities and Exchange Commission. And with that, I will turn the call over to David.
David M. Zaslav: Thanks. Good morning, everyone. I'm pleased to join you this morning during a very exciting time for the media industry. As the industry continues to evolve at an increasingly rapid pace, we know that powerful and love content is still king. Discovery remains focused on diversifying and augmenting the value of our global content portfolio of strong brands and franchises in over 220 markets around the world. We have continued to strengthen our traditional Pay-TV dual revenue streams while investing to drive additional value on Pay-TV and across new digital platforms. Since our last call, we have made some key strategic investments. We have seen expected but still difficult third quarter advertising results, in part due to the Olympics. We have completed a major US distribution deal, and we have watched a continuation of strong trends in distribution revenue, which are 50% of our US and 50% of our international businesses. That long cycle, domestic and international revenue mix makes Discovery unlike any other US-based multi-channel network company. Today, I want to talk about five major developments since our last earnings call. Our new CFO, two strategic investments, the financial foundation provided by our large distribution deals, and gains in our digital rollout that bring increased focus on our digital monetization. First, as you know, Gunnar Wiedenfels will join us early next year as CFO. Andy Warren has graciously agreed to extend his contract term to ensure a smooth transition of CFO responsibilities and a big thank you for that, Andy, and for all of your service, great service over the past five years. Gunnar's experience as CFO of publicly traded Procebin is perfectly aligned with Discovery's future and growth portfolio. Procebin, one of Europe's major media companies, operates multiple broadcast and cable networks and is also Germany's leading online video marketer. We are excited to bring Gunnar onto the team as Discovery continues our rapid growth and diversification in new content and digital platforms around the world. Second is a key strategic partnership for Europe. Today, I'm extremely pleased to announce that Discovery and MLB Advanced Media have created a joint venture to form BAMTech Europe. This platform partnership leverages Eurosport, the dominant player in sports rights across Europe with unparalleled reach and BAMTech's world class digital technology service. Discovery will remain 100% owner of Eurosport and all of its IP, as well as its digital platforms. This partnership will greatly accelerate Eurosport's access to over 700 million people in Europe. Gaining just 1% of the European population to subscribe to the Eurosport Player would equal 7 million subscribers. BAMTech's state-of-the-art back-end video platform and service will be implemented in 2017 across all of Eurosport digital products, which today include Eurosport.com, the continent's number one sports news web site with 60 million users a month, and the Eurosport Player, what we call our Sports Netflix, the leading subscription based OTT sports platform across Europe, giving fans an all-access pass any time and on any device in 52 countries. In addition, we will have access to select MLBAM content in Europe for direct-to-consumer contribution. BAMTech Europe also will work with a broad set of sports and entertainment content owners, broadcasters, and OTT platforms to enhance their digital capabilities, reach and performance across the continent. Third is an investment to change our content and IP mix, and help Discovery grow into a leader in short form and mobile content for the next decade. Last month, we announced that we will be investing $100 million, and entering into a strategic partnership to create a new media holding company called Group 9 Media. We will contribute two of our digital assets, Seeker & SourceFed Studios, Digital Networks, and we will combine them with independent Digital Networks' Thrillest, NowThis, which is the number one video news publisher on Facebook, The Dodo, as well as two Snapchat channels that belong to the NowThis portfolio. With 3.5 billion monthly video views across all of these millennial-focused brands, Group 9, will be a top five digital first content and social video company on day one. With a best in class leadership team, tremendous brands, reach and scale. We will own 39% of Group 9 and importantly, we have the option to acquire full ownership in the future. Fourth is another big distribution agreement. We completed a successful renegotiation with AT&T DirecTV. So we will continue to reach their 25 million subscribers in the US at very favorable rates. The DirecTV agreement is in line with our other recent deals. This long-term contract not only helps secure our linear distribution growth, but it also means Discovery's content will be available across all DirecTV platforms on a favorable basis, including the soon to be launched OTT DirecTV Now streaming product. The importance of long-term international and domestic distribution deals, like our recent deals with DirecTV, Liberty Global, and Telenor cannot be overstated. In the US, with the successful completion of our DirecTV deal, we won't have another major renewal until the end of next year. Internationally, while there were some one-time items last year that impacted third quarter growth, we expect double digit underlying organic growth for the next few years. As our stronger premium content portfolio, that now includes leadership in sports in Europe, is translating into much stronger price increases as deals are renewed. There's no question that the addition of sports and the upcoming Olympics to our nonfiction portfolio in Europe, is bolstering our profile with distributors and reinforcing the must-have nature of our suite of brands. Half of our total company revenues come from these agreements, and our built-in price escalators provide a solid, stable foundation of growth, even as advertising fluctuates. This stability is what gives us the optionality to monetize our content on existing and emerging platforms and is further evidence of the strength of our brands and our content. Two recent examples of our brands resonating with audiences are OWN and ID. With new hits like Queen Sugar and Greenleaf, a strong Saturday night and Tyler Perry programming continued to deliver audiences. OWN is the number one network for African-American women in America, and prime delivery is up 12% year-to-date. And for a few weeks this quarter, OWN was a top 10 network in America for women. ID continued to score big in the third quarter, ranking as the number one network for women in August, September, and October. Number one: JonBenét, an American Mystery Story is this year's best new nonfiction cable series and ID's best ever across demos. And this series also drew record audiences in the UK and ID's international viewership growth was up double-digits yet again. The fifth topic I want to discuss is our digital strategy. Our global digital strategy is pretty simple, get our own content to as many people as possible across all screens and platforms and fill in with digital-only content as needed. A key tenet of our digital strategy and driving incremental revenue growth is TV Everywhere. In Latin America, our kid's digital product continues to gain traction with Discovery Kids Play now in front of over 40 million households. In the US, Paul Guyardo and team have done a great job with the recent launch of our authenticated network apps and websites, which now give cable and satellite customers the ability to watch our long-form content anytime, anywhere, and on practically any device. We've made real significant progress with our authenticated offering in this past year. A year ago, our TV Everywhere footprint was in just over 20% of the US. Today, our footprint covers over 70% of the country. The national launch of our TV Everywhere apps that we call GO occurred on August 9. It's early days, but we have already learned a lot and initial results are quite promising. First, 50% of the streams are coming from 18-year-olds to 34-year-olds. This gives us confidence that our content is relevant to a younger audience. We just had to put it on a different platform for them to consume it. Second, we are seeing strong pricing. As CPMs for GO are at a big premium versus our linear nets, largely because the length of view is almost an hour and the millennial delivery is so strong. Third, consumption patterns appear to be 60% recent episodes and 40% older titles, which is a strong testament to our deep, rich library and the fact that consumers are seeking out our programming, even over a week after it's aired. Finally, our only real material challenge is our authentication rate, which is a common challenge for all programmers and distributors. But we're working with our distribution partners to address it. For example, we have just launched home-based authentication with Comcast, which removes a huge barrier by eliminating the password requirement on sign-in, and roadmaps to do the same with other MVPDs are in the works. We also continue to make strides in Europe. In some markets of Europe, the pay television penetration is lower than in mature markets and that provides new digital opportunities to leverage the investments we have been making in sports rights beyond our linear business. Of the 320 million homes in Europe, 160 million homes currently have Eurosport, but 160 million homes currently do not have access to Eurosport on TV, primarily because they are non-Pay-TV households. That 160 million is more than all the households in the US. For future digital delivery, there are nearly 200 million wired broadband subscriptions and nearly 600 million mobile data subscriptions across Europe, more than all the fixed and wireless data subs in the US, together making Europe the most important continent for sports growth and opportunity over the top. So there are clearly two routes for sports expansion in Europe, linear and digital, and we are attacking both. To help drive our Eurosport digital effort, I've asked Paul Guyardo to now oversee Eurosport's digital businesses. Paul worked with Barry Diller for many years at HSN and worked at DirecTV, where Paul and his subscriber acquisition team built DirecTV from 15 million subs to over 20 million subs. Following the successful launch of our GO apps in the US, Paul will take his skills to Eurosport's digital operations. And we're building a world-class team with new expertise to manage our direct-to-consumer business out of London. We recently hired Ralph Rivera to be the managing director of Eurosport digital, and he will take over the day-to-day operations. Ralph joins us from the BBC, where he was responsible for all of the BBC's digital media services, leading the implementation and operation of BBC iPlayer as it grew by over 300%. And not coincidentally, he delivered BBC's first truly digital Olympic Games for London in 2012, providing solid in-house expertise as we get access to the Olympic rings on January 1 of next year. Today we own the content for our linear businesses and we have the right to use that content to build our global digital businesses. As I have told many of you, because we own the sports content for both linear and digital, I've begun to think of this as an opportunity to build a Netflix for sports in Europe. We are also exploring creating services for science, in the auto space, and for other niche genres in the US and around the world, additional direct-to-consumer opportunities, so our super fans can access our content where they want, on whatever device, whenever they want. So in closing, we continue to secure important long-term distribution deals and invest and add key personnel to support global growth across all platforms to assure that Discovery Communications continues to evolve globally and digitally way beyond the way the traditional U.S.-based multi-channel network company can evolve. And now I will turn the call over to Andy.
Andrew C. Warren: Good morning, everyone. Thank you for joining us today. As expected, and previously communicated, our third quarter was challenging, but our financial and operating trends in the fourth quarter are much better and our robust full-year outlook is still very much intact. Importantly, as David mentioned, while the media landscape is rapidly changing, Discovery's global content portfolio of well-loved and increasingly diversified brands makes us uniquely well positioned for long-term growth. Half of our revenue base is derived from affiliate, which is well positioned for strong and sustained growth, given the multi-year nature of our contracts with built-in price escalators. We also remain highly focused on controlling our non-content operating cost growth while thoughtfully investing in content and OTT platforms. As we have consistently highlighted, two of our most critical competitive advantages are our flexible cost structures and the fact that we own or control the vast majority of our content across all global platforms. These advantages give us tremendous operational flexibility and optionality and allow us to fully maximize our long-term profit growth. Now, let's dive into our third quarter results. Excluding currency, total company revenues were up 3% and adjusted OIBDA grew 1%. Net income available to Discovery Communications of $219 million decreased versus the third quarter a year ago, primarily due to a $50 million or $0.08 per share non-cash after tax write-down of our Lionsgate equity position. Earnings per diluted share for the third quarter were $0.36, and adjusted earnings per diluted share was $0.40, down 15% versus last year's third quarter. Excluding the $0.08 impact from this one-time Lionsgate write-down, third quarter adjusted EPS would have been $0.48 up slightly year-over-year. Excluding both, negative currency impacts, as well as the Lionsgate write-down, adjusted EPS was up 5% for the third quarter, and up fully 18% for the year-to-date. Third quarter free cash flow increased 75% to $410 million, primarily due to lower cash taxes and improved working capital turns. Impressively, constant currency free cash flow increased 112% for the quarter, and increased 72% for the first nine months of the year. Our total company free cash flow growth has clearly accelerated. Turning now to the operating units, our U.S. network revenues were up 2%, as our 7% affiliate growth was offset by a 3% decline in advertising growth, which was fully expected due to the Olympics, as well as the timing of Shark Week this year. Excluding the Olympic impact, US advertising would have been up low single digits. Looking ahead to the fourth quarter, we expect fourth quarter advertising to be flat after taking into account the small approximately 50 basis point impact from the deconsolidation of our Discovery Digital Networks relating to our recently announced Group 9 deal. Our domestic distribution revenues were up 7%, while total portfolio subs again declined almost 2% versus the third quarter of last year. We continue to benefit from the significantly higher locked in rate increases we have solidified in all of our recent affiliate deals, including our new deal with DirecTV. We are extremely pleased with the outcome of this latest renewal which was completed at very favorable rates and in line with our other strong US affiliate deals. The DirecTV renewal was truly a win/win as our content will be available across all DirecTV platforms, including their soon to be launched OTT DirecTV Now streaming product. Domestic operating expenses in the quarter were actually down 1% as we remain laser focused on controlling our non-content cost growth, resulting in 3% adjusted OIBDA growth and 100 basis points of year-over-year margin expansion to 58%. Total domestic operating expenses are expected to be flat to down again in the fourth quarter. Turning now to our international operations, the 3Q comps to last year are simpler, as there are no major acquisitions or divestitures to normalize. So my following comments will refer to our organic results, which need to only exclude currency impacts. International organic revenues increased 2%, with distribution revenues up 8%, and advertising revenues down 2%. Our 8% affiliate revenue growth was primarily due to higher affiliate rates in Latin America, CEEMEA, and in Northern Europe where we have been successful in leveraging our expanded content portfolio that now includes sports to drive higher contracting pricing step ups, but was partially offset by a couple of one-time items in Europe and Asia in the third quarter of last year. We still expect constant currency distribution growth over the next several years to be up at least low double digits as we continue to benefit from our stronger, more diversified portfolio of networks and higher contracted price escalators. Turning to our third quarter national advertising, overall results were meaningfully impacted by the Olympics and while we benefited from higher volumes in southern Europe, and higher pricing and volumes in CEEMEA, growth in these markets was more than offset by declines in Northern Europe, our largest advertising region. Northern Europe was clearly heavily impacted by Brexit and other macro-related weaknesses, as well as softer ratings at our female skewing networks. Trends, however, are improving in the fourth quarter, with all regions seeing improved results. Therefore, we expect fourth quarter year-over-year advertising growth to improve by several hundred basis points versus this third quarter's growth rate. International operating expenses grew 6% in the third quarter, primarily due to higher sports content, and production costs. But total international cost growth will slow in the fourth quarter. Now, taking a look at share repurchases. In the third quarter, we repurchased a total of $374 million worth of shares and we have repurchased $1.5 billion of stock over the last four quarters, as we committed to on last year's third quarter call. We now have spent a total of $7.8 billion buying back shares since we began our buyback program at the end of 2010. On a stock split adjusted basis, we have now reduced our gross outstanding share count by 34% and by 30% net of employee equity awards. We are still very comfortable with our current gross leverage ratio of 3.3 times, given both our high degree of confidence and our free cash flow growth forecast as well as our robust 16% and growing free cash flow-to-debt yield. We have significant flexibility around our deployment of capital and are extremely committed to remaining investment grade rated company. Very importantly, we are well within the financial ratios prescribed by all three rating agencies to maintain our current investment grade debt rating. As we look ahead to the fourth quarter, we will continue our share repurchases, for our available capital for buybacks will be impacted by the $100 million investment in Group 9, but 4Q share repurchases will not be impacted by the BAMTech Europe deal due to its immaterial investment size. Now, let's review our forward looking guidance. For full year 2016 we still expect constant currency free cash flow to grow in the high teen range and constant currency adjusted EPS, excluding the Lionsgate write-down, to grow at least 20%. We are also reiterating our 2015 to 2018 three-year guidance of constant currency adjusted EPS and free cash flow growth CAGRs both growing at least low teens or better. I also want to update the expected year-over-year foreign exchange impact on our full year operating results. Thanks to our effective hedging strategy, the expected year-over-year FX impact on our financials has not changed since our last call, despite some of our major currencies, especially the pound recently weakening. Assuming current spot rates stay constant for the rest of the year, FX is still expected to reduce our constant currency revenues by $150 million to $160 million, and our constant currency adjusted OIBDA by $80 million to $90 million. In addition, we still expect a positive FX impact to adjusted EPS of $0.02 to $0.06 due to the net effect of this year's adjusted OIBDA impact and the year-over-year change in the below the line FX impact. In closing, as I near the end of my tenure at Discovery, I'm extremely optimistic about Discovery's current global content portfolio, our optionality, given our ownership of content and flexible cost structures, and our overall financial and operating momentum. Now, Dave and I will be happy to answer any questions you may have.
Operator: Our first question comes from the line of Alexia Quadrani of JPMorgan. Your line is now open.
Alexia S. Quadrani: Hi. Thank you. If you could comment – two questions. Well one question is a quick follow-up. First on, Netflix spoke about a movement to sort of non-scripted programming and I want to know if you saw that as an incremental competitor to your domestic business here, or not necessarily because your brand is such a driver of viewership. And then just a follow-up, if you can give us a little color on your DTV Now comments. Will all your networks be distributed on the product? And any sense on what tier they might be on?
David M. Zaslav: Okay, sure. Look, I think Netflix is a terrific company and they've had a lot of success in putting together quality content as well as acquiring content from existing players. And they've been in nonfiction and they are continuing to do some nonfiction. I think directionally, it's – they've moved to be more like an HBO and so I think in terms of where Netflix sits with us, we see them more as a premium service. Both Showtime and HBO also are doing some nonfiction and documentaries. And so we don't really see them as a competitor with our brands. Our focus really has been to get, to tighten up our brands to focus more on nourishing our core audiences so that we have super fans and we can be reaching them and build a steadier and longer viewership on each of our brands around the world. And, we have seen that with Discovery outside the US, which is continuing to grow globally, ID, which is breaking out, has grown over 10% this year domestically, and more than that outside the US, as well as Oprah and Science and Animal Planet. And, so we are really focused on curating through brands and we are finding that our pipeline is strong, particularly because of our leadership with Discovery as the number one channel for men in the U.S. and almost every market around the world. We are a first place that producers are coming to. Also, because of the amount of volume, as well as for each of our other channels, on crime, we are number one because we buy the most, in the African-American space now with Oprah, Oprah has become the number one place. I think focusing on our brands and nourishing our audience is really the key for us for growth and I think Netflix is doing quite well and it just reiterates the fact that nonfiction is strong. On DirecTV Now, we were able to work out a deal that I think works really well for DirecTV and for us. The idea with Now is that they're going to have an opportunity to reach out to subscribers that maybe they couldn't otherwise get and for us, we think a lot of that, at least hearing from DirecTV, is going to be a younger demo or cord-nevers, at least in the initial tranche. But for us, we are well covered. A number of our services are going to be carried and at least 85% of the economics we will be reaping from each subscriber. And, we expect that to the extent that it rolls out and it's meaningful, that we will find what we have found on smaller bundles around the world, that our viewership becomes stronger. So we have been able to secure a strong position which I think works well for us and works well for DirecTV because they have very high quality services to offer on DirecTV Now.
Alexia S. Quadrani: Thank you very much.
Operator: Our next question comes from the line of Ben Swinburne with Morgan Stanley. Your line is now open.
Benjamin Daniel Swinburne: Thank you. David, as you move towards direct to consumer, particularly internationally, can you talk about what you think the organization needs to do, operationally? You mentioned some senior hires, your partnership with BAMTech, but in terms of hiring, I don't know if you think you need to get bigger in customer service or in billing software, I'm trying to get a sense for what Paul's job is here in terms of transforming the company to a more direct relationship with the consumer since your digital strategy is all screens, all places. I'm just wondering what the building blocks are that you are putting in place to make that all happen.
David M. Zaslav: Sure. I'd say it's really four pieces. BAMTech and getting into business with Bob Bowman is a big piece of that, from a middleware perspective, as well as access to some additional IP through them. But joint venturing with BAMTech and sharing and investing in a tech platform that we build out throughout Europe gives us a best of class platform that can hold all the streams and provide a very positive consumer interface, which we think is an improvement over what we have today. In addition, we have Ralph Rivera who ran the iPlayer, and that's sort of the – how do we aggregate all the content and how do we offer it? Right now, we are offering it as a broad offering. Ralph is looking at subdividing that to specialty groups. We now have all the majors in tennis. We have all the cycling. We have all the winter sports that we start to break that out into seasons passes and we have started to experiment with that and Ralph will create the content working with Paul. But Paul's job at DirecTV was subscriber acquisition and marketing job. And, that's what he did for Barry at HSN, and that's what he did at DirecTV. He had a team of over 300 people that drove DirecTV from 15 million subscribers to 20 million, and he had dashboards that related to customer service, reducing churn, subscriber acquisition, how do you – where do you go? What are the affinity groups that you go to and how do you attack those groups, at what pricing. And so, we have started to hire a significant number of people. We made the decision to put them in London because we view this group as a disruptor group. So rather than have our existing team that's doing a world-class job of building Eurosport, and acquiring that IP, so we have our three Eurosport channels across all of Europe and we have Eurosport.com that Peter Hutton and his team is running and that is profitable and we have been able to get great IP. Now we have our BAMTech middleware together with their IP and their know-how, we put on top of that one of the best guys in the industry, with huge experience in offering content directly to consumers, and then Paul on top of all of it, responsible to drive it. And, look, there is no – when you think about Europe with over 700 million people, and only 50% pay penetration, there's huge opportunity here, we think, to go over the top. There's the 50% that aren't getting any of the Eurosport content at all, and then even when we are showing the Eurosport content on our channels, we have so much IP that there's a huge amount that's not being seen. And so that will be an attack. Our sports Netflix in Europe is something that we are taking seriously, and we see it as a disruptor and we think it could be a huge value creator. But, we think it's just the beginning. Because, when we look at all of our IP now, we've spent the last four years building our content, owning it on all platforms and whether it's science, whether it's auto, whether it's African-American, we think that there's an opportunity with all that content paid for, to go direct to consumer, either for a fee or for free and build additional economics and additional bites at the apple.
Benjamin Daniel Swinburne: Great. Thank you. Thank you very much.
Operator: Our next question comes from the line of John Janedis with Jefferies. Your line is now open.
John Janedis: Thank you. David, over the years, you have talked a lot about programming and the importance of being on brand and I think for the most part, either on Discovery and TLC, but ratings have been a little bit soft the last couple of quarters. So, when you look at improving ratings, is the solution more original hours, is it marketing, is it better measurement? I'm just trying to get a better handle on your line of sight for the turn. Thanks.
David M. Zaslav: Thanks so much, John. First, I'd say that we really view Discovery globally. So this year globally, Discovery is up in a meaningful way. In the US, we are down a little bit. We are still the number one network for men in the US. We still beat ESPN six months of the last 12 months, but we have a group that we are talking to everyday that feels like Discovery is really on brand. We could put more content on there just to get ratings or we could put content on there that would be very US-centric, but we really look at Discovery as a global platform and measure it in terms of how we are gaining share around the world. Rich Ross had a huge success with his miniseries Harley and the Davidsons and we took that around the world and we are finding some meaningful success with that. Gold Rush is back and doing quite well. Alaska: The Last Frontier is back. So we have a lot of content coming in the fourth quarter, I think you'll see some meaningful improvement. But most importantly, the channel is on brand. We have done well with our scripted series and we have some real documentaries that are meaningful that have been on the air, that are reminding people of what Discovery is when it's at its best. So we feel good about Discovery. TLC has been a challenge. But I think we are making the turn. We now have a Sunday night that's really strong with 90 Day Fiancé, where we are number one or two for women on Sunday night again. The overall trend in the last few weeks has been better. But we've worked really hard over the last 18 months on our development and on figuring out how – what is TLC when it's at its best and how has it changed over the last couple of years. Where did we lose some acceleration? And Nancy Daniels and her team together with the global TLC team, has been digging in and we think we have some good content coming up in the fourth quarter and first quarter, so we think that we can help turn that around. And each of these channels are at times a bit of a challenge. Oprah was a challenge for us, the OWN network, and now it's a top 10 or top 12 network in America and it's number one for African-Americans. For a period of time, ID a year and a half ago, was stalled and Henry and his team got really focused on, what is ID, how do we nourish that audience? And now it's back on track and growing in a meaningful way and it's number one for women. And so, I think our creative teams are strong. We're not going to have all 14 of our channels growing all at the same time, but as we look at our overall share globally, whether it's in the women's category or the men's, over the last year, we continue to grow.
John Janedis: Thank you.
Operator: Our next question comes from the line of Richard Greenfield with BTIG. Your line is now open.
David M. Zaslav: Where is Rich? The second time this has happened to Rich.
Jackie Burka: Next question please
Rich Greenfield: Hello, can you hear me?
David M. Zaslav: All right. We got you.
Rich Greenfield: Oh, sorry. So, Bob Iger recently said that great content may no longer be enough, that you need direct access to the consumer. You're clearly trying to build a bridge in Europe through the Eurosport Direct product, but wondering how do you think about the US if Iger is right? And then just two, AT&T DirecTV is now the largest MVPD, presumably has the best rates for content, including yours, I would presume. To the extent that DirecTV now takes share from other MVPDs across the country, is that a headwind potentially for you and others in the industry in 2017 on the affiliate side?
David M. Zaslav: Well, I'm not going to get into the rates on any specific deal, but I'll say that, look, we had a very good equitable argument when we went into our renewals a few years ago. When we did the deals eight years ago, seven years ago, five years ago, we were getting about 5% or 6% share, and we were getting 4% or 5% of the money. Our share went up to 12% or 13%. We launched ID, it became number one for women. We launched OWN and it was successful. Discovery came back to being number one. And we invested a lot more in content. So when we went out to the, all the distributors, we were able to get a significant step up and double-digit increases. And now we're done with all of our deals and that's true across the board. We were also able to secure good protection for our channels against tiering and real protection that we were going to get carried in a meaningful way in any offering. It helps us that our top five channels or six channels represent about 85% or 87% of the money. You know, exactly what happens with DirecTV now and where that growth comes from, we don't see that as being an issue. We see it as being an opportunity. There's a lot of people that probably weren't able to afford the traditional DirecTV product that may buy that $35 product. And if they do, we're going to have a lot of channels on there. Each of those channels are very strong brands. And we've seen in markets like Brazil and Mexico and in many of the markets in Europe where we only have half of our channels carried, if we can preserve most of the economics, the viewership on those channels grow and the strength of the brands grow. And so we're rooting for DirecTV with NOW. We also think that creates a nice marketplace driver. So if the other distributors in the market decide to do something like that, the biggest impediment right now is the price of cable in the US. It's something that we don't see in most markets around the world, and it's mostly driven by high sports fees. And so the biggest issue that we have in Northern Europe, Rich, is it's one of the few markets where cable TV is $100. And the result of cable being $100 is that there have been a lot of people that have gone to other services or disconnected. And that's not true across almost all of Europe or Latin America. And here in the US, one of the things that has stopped the growth of cable is pricing in all that sports. So the idea that somebody can do a $35 offering, and we can get most of our economics and more share, that's a positive. The second thing is we've already gone directly to consumers with Discovery Go, which is going very well so far. And as I said, 50% of the people that are spending time with Discovery Go are under 34 and about 40% are under 25. And they are watching an hour and they're watching all the commercials. And so we've already said next year we expect at least 1% of additional growth in ad sales because of Discovery Go. And we think it could be north of that. We have a Dplay product in Europe where we're also going direct to consumer, so we're learning a lot about all that, and I think you will see all the work that we did where we said, let's not fight for ratings, let's fight for super fans and strength of brand, that we'll be able to take that brand to people around the world. And I've said it before, but when you take like a science product, what would a science app that's $1.99 or $2.99 when we already have it in 55 languages look like if we could take it around the world and make it available to the over 1.0 billion subscribers that currently get our content? And so, we think with our content paid for, direct-to-consumer is an opportunity, but I would say that we really view the existing ecosystem as quite solid. So I think owning great content that has super fans and being able to take that to consumers is a real opportunity for additional meaningful growth. And in the case of sports, it could be a huge driver for us. But the existing ecosystem around the world remains strong and I think it's more of a, what's going to be in four years, five years and six years in terms of getting directly to consumer or seven years, than in the next few where things seem really pretty stable around the world when you look at subscribers
Rich Greenfield: Thanks so much.
Operator: Our next question comes from the line of Vasily Karasyov with CLSA. Your line is now open.
Vasily Karasyov: Thank you very much. I would like to ask a couple of questions on the international networks. First of all, I think the release calls out Northern Europe weakness but then says that there was volume growth in Southern Europe. Given that the Olympics are a global event, can you explain that divergence, please? And then, do you mind giving us an idea of what Eurosport and ex-Eurosport what the margins are doing there? Because I'm sure the trends there are divergent in terms of operating expenses growth and advertising and (46:27) revenue growth so that we understand the drivers a little better? Thank you.
Andrew C. Warren: Sure, it's Andy, Vasily. Yeah, so the answer to the question around volume growth in Southern Europe and really it also applies to Latin America and Eastern Europe. It's what we call the power ratio. And we've talked before about the share of economics following the share of viewership, and if you look at those two regions, Latin America, Southern Europe and Eastern Europe, you are still seeing strong double-digit growth there because we just have so much catch up to do relative to the economics following viewership and share. So you'll continue to see us talk about, while Olympics certainly was some headwind in those markets, no question that this – the overall trend of our performance from a macro perspective and from an economics perspective continues to be a great tailwind for us. With regard to Eurosport, look, we don't anymore split out Eurosport, but not only because it's so integrated now with the rest of the business. We go to the affiliate marketplace as one company. A lot of the ad sales now, while we are seeing tremendous outgrowth on Eurosport, given its new platform, we don't think of it as being a standalone entity anymore from a reporting perspective. While margins are a little less, still positive, a little less, given the dynamics of sports rights relative to some of the third quarter ad sales challenges that we talked about, no question the trend there is still positive. We are still seeing a growth in the top line for Eurosport related product and we are still seeing, over the long term, profit growth and margin growth for that asset.
David M. Zaslav: We are seeing a bit of a tale of two cities. If you look at Northern Europe, as I talked about earlier, they have this – they are uniquely seeing putt levels decline over the last two years, and we are all feeling that. A piece of it is ratings, which we think we can correct, but a piece of it is that there's a – there's something meaningful that has happened there over the last two years that has not had any kind of systemic impact in Europe or Latin America, we're gestationally in different positions. So when you look to Northern – when you look to Northern Europe, if you exclude that and you exclude the UK, where Brexit has presented real challenges in terms of the advertising market, we are seeing in Latin America and throughout Europe high single, mostly double-digit growth still. So we are seeing low double across Europe and Latin America, and then we've got a Brexit challenge and we have a putt level challenge in Northern Europe, Norway, Denmark, Sweden where we're fighting that fight. We think we can improve it a little bit, but we can't say right now whether the viewership levels on television are going to continue to decline or ameliorate. Right now it looks like it's a slow, steady decline up there, more so than we're seeing across most of Europe, which is contrary to what we're seeing in Latin America where there's still meaningful growth. And Eastern Europe, we are seeing meaningful growth in viewership as well as subscribers.
Vasily Karasyov: Thank you.
Operator: Our next question comes from the line of the Anthony DiClemente with Nomura. Your line is now open.
Anthony DiClemente: Good morning and thanks for taking my questions. I guess no one has asked about the domestic advertising outlook yet, so we need to do that. You had said, Andy, that third quarter would have been low single digits if you exclude the Olympics. So fourth quarter outlook being flat, is it deceleration? So, can you please just talk about the drivers there? I would have thought you'd had the benefit of the new CPM pricing from the up front. And then just sort of bigger picture on domestic advertising, what are you seeing in the marketplace? Is there a budget shift to the Facebooks, the Googles, and the Snapchats going on out there? And then another one for, a separate one for David, also a question about getting your content closer to the consumer. But more about marketing. So you talked about Discovery Go. You've reached critical mass with that. You've talked about Deep Play, the Eurosport Player, does it make sense to start marking these digital products like Discovery Go more aggressively? And just, at a higher level, how do you think about the returns of marketing these digital products to consumers? Does it make sense at all to do it directly, or strategically, would you rather wholesale your digital content to third parties like DirecTV Now, who in turn do the heavy lifting on investing and marketing? Thanks.
Andrew C. Warren: It's Andy, Anthony. So look, on the fourth quarter ad dollars, I'll look at it this way, there's going to be some pluses and some minuses. The pluses are A, clearly still a strong market. We're still seeing double digit scatter over up front, we're still seeing high single scatter over scatter and so the market continues to be our friend and there's good volume and there's good pricing there. So clearly, there's some positive there. We are also still seeing some positives from some pricing on Discovery (51:50) Go, and we've talked about the audience profile there skewing so much younger and more female. So those are clearly still positive trends that exist in the fourth quarter. I think on the negative side, one is the deconsolidation of our digi-nets, due to the deal that we announced where we are combining our assets to get a much bigger viewership share, and, look, the other is the universe declines and some pretty conservative view on our ratings. Clearly, there's some upside potential there. We're seeing some traction. We talked about ID, we've talked about Velocity. But, we've taken a pretty conservative view on ratings and the universe. So, I think we have a real chance to over deliver on that expectation, but we are trying to set expectations right as we think about the next kind of two months.
Anthony DiClemente: What's your assumption on the universe? Is it more than 2% or is it 2% on your portfolio sub expectation?
Andrew C. Warren: Yeah, it's the same level, Anthony. We've kind of been at the slightly below 2% to 2%. We are not seeing any acceleration there. So we're still thinking about a 2% decline in the fourth quarter.
Anthony DiClemente: Okay, thanks.
David M. Zaslav: And on taking our content direct to consumer, we're now in 70% of the country with DGo and we have a strong relationship with a lot of the distributors that are helping us to promote it. So we feel like that's on a good track. We are really working on driving the authentication. When it comes to our sports product, we are putting in place a team that will work on marketing. The best case is, one of the things that you saw with AT&T is it's something that I have been talking about for a year and half that we have been seeing. It used to be the triple play, but more and more in Europe now, you are seeing the quadruple play. You are seeing wireless, broadband multi-channel to the home. There's still some fixed phone, but it's much less relevant as we all know. And so with that type, there comes a commoditization and we saw it across Europe, as BT tried to de-commoditization their platform by owning special IP, you see it with Deutsch Telecom, you see it with Vodafone, you see it with Telenor, you see it in Latin America. So, for a long time I have been saying, that that pipe is getting commoditized. And when you are holding on to that pipe, if there's one or two guys next door that are offering the same thing, it becomes a real challenge and it's almost a race to the bottom. And so we have seen that around the world. And the reach, when that happens is IP de-commoditize the platform. And so, some of the deals that we've been able to do, whether it's with Canal+, whether it's discussions with the mobile guys, which is something we're having now much more aggressively, where everyone is looking for IP to attach to their pipe, to de-commoditize it. And so, I think that the positive side of AT&T, is it's an affirmation that owning great IP is important. Of course it raises some significant issues for content owners in terms of how they are going to be carried on their platform. But the point is that the right deals for us, in Europe or Latin America, could be quite advantageous to driving this product. There's no reason why this product shouldn't be driven by the mobile players across Europe. And so, if you buy a particular wireless product, you can get the Eurosport Player. If you sign up for a particular distributor, you can get the Eurosport Player. They can bill for it. So if we expect that over the next period of time, that there will be some bundling of our product, just like Netflix is now getting bundled with Liberty Global, or bundled with other distributors, that it's a way of making and offering. The difference is, that in some of the markets in Europe, it could be exclusive. So we could be marketing ourselves direct to the consumer. We have Eurosport, so people are watching the sports that they love. We could be telling them the next match is on the Eurosport Player, so sign up. So we could be our own direct promotion through unsold inventory, which makes us unique and different from Netflix. But also, we have our direct reach. And, we have 10 channels to 12 channels in each market, where we are reaching specific demos. But then there's also, we think, the opportunity over time, over the near term, over the next year or two, once we have this best of class player working with Bowman and BAMTech and we have the product that we think works, because we have the IP that we think works, that we start to have distributors become sub-distributors for us, which we think also will reduce churn in a meaningful way, because we will be packaged along with other billing by distributors. So this idea of the quadruple play and this fight to de-commoditize the pipe, I think, for people that own IP, and could offer it across all the different platforms, is going to be a real meaningful opportunity for growth.
Anthony DiClemente: Thanks, David.
Operator: Our next question comes from the line of Todd Juenger with Sanford Bernstein. Your line is now open.
Todd Juenger: Oh, hi, thanks. Given the hour, I will just keep it to one question here. David, you mentioned before the 14 network brands in the states, something like 85% of economics in the top six. So my question is, how do you think about those other eight networks from both a strategic and financial perspective, and their role in your portfolio? Do you still subscribe to a philosophy of basically trying to invest and grow those and find the next sort of ID, or maybe is the world changing about how you think of those, the role of those networks going forward both in their distribution and their investment and the overhead that's required to maintain them and all that stuff? Just your thoughts there would be really helpful, thanks.
David M. Zaslav: Thanks, Todd. We have been focused on trying to – I think more than anybody else, we have been growing brands domestically around the world, and as you have seen our company evolve over the last ten years that I have been here, we have taken a meaningful amount of investment in content and new brands. So we have gone from investing $500 million in content to over $2 billion. And, as opposed to just growing and defending Discovery and TLC and Animal Planet, there's a number of channels that are having a real impact in the U.S. and around the world that didn't exist; whether it's ID, Velocity, which we call DMax or Turbo around the world, Oprah, which didn't exist a few years ago. And so, if you look at our channels, the top six represent 85% or 87% of the ratings, and 85% or 87% of the economics. That is where our primary focus is, but we have some other niche channels that we are playing around with and they have also been a farm team for us. Some of the content that starts on those channels ends up going to our bigger networks and it's a little bit of a secret sauce for us. Survivor Man and How It's Made started on Science and they became strong performers on Discovery and we are still finding that around the world. But directionally, even though we have between 10 channels and 12 channels, in most markets, we have 8 channels that represent 85% or 90% of our economics or 85% or 90% of our share. And so, that's where we are focusing and as we look at a world that is going to be changing over the next couple of years, we have been spending most of our time making sure those channels are stronger, those brands are stronger, and the people that are watching those networks feel more connected and affiliated with them.
Operator: Our next question comes from the line of Jessica Reif Cohen with Bank of America. Your line is now open.
Jessica Jean Reif Cohen: Thanks. I've got two questions. David, you mentioned on your Eurosport, becoming like a Netflix for sports, you mentioned other categories that you were interested in, like science and auto, is that all under Eurosports or is it a European service you are thinking of, or something more global? And the second question is on the creation of Group 9, can you talk about some of the metrics that you are looking at and, you know, when and how will you buy the balance of the 61%?
David M. Zaslav: Okay. Let's start with Group 9. We were doing, with Seeker & SourceFed, about half a billion streams, and we found that those streams actually had very good CPMs, but we needed a sales team, which we had, that was selling those 500 million streams. When we went to talk to advertisers, they liked the demo that we had, but we were like the – we were number 20 in line. So putting this together with Thrillist, The Dodo and NowThis, we get a number of things. One is we get 3.5 billion to 4 billion streams a month, which gives us – makes us the number three player, four player or five player in the space. So already advertisers are calling us saying, we like the demo that you have, we like the scale that you have, how can we do more business with you? That's number one. Two is, there's an ad sales team that's working for Ben Layer, a very strong CEO that's running the whole business, and we'll be able to take advantage of having one big sales team sell the 3.5 billion to 4 billion streams, which is a real advantage. The third is, they have a fantastic data analytics business, which is – we were faced with the question of do we build a very big sales team? Do we build a big data analytics structure? And how do we scale up our half a billion? And so we view this as a three part. We got the 3.5 billion to 4 billion, so we got scale. We have a great sales team as we picked the best and the brightest of all of these companies and Ben pulls it together, and the third is we got a great data analytics structure. I mean, that data analytics structure built NowThis in the last year and a half to be the number one provider of news on Facebook. And they also with have two Snapchat channels. So, for us we've got scale, we have data analytics, we have an ad sales team that we can rely on. We're more in the front of the line. And we were out in San Francisco last week, we were with the Facebook guys and they're transitioning their platforms to video and we're in the top two or three providers of video to Facebook. And we got to work on how do we monetize that content, and that's why we were out there talking to them. In our one minute and one and a half minute videos are generating so much energy for Facebook, how do we get more value out of that? It's not in our plan right now but it's going to happen, but if it does happen, which I think eventually hopefully it will, the value of a business like this could be huge. And finally, we pick up a stronger relationship with Snapchat, where we pick up two channels. And so I think for us, we now own 39% of it, we've got a great leadership team running it, we'll see over the next few years how it develops and it gives us great optionality and it gives us a great support system. Finally, Eurosport and the whole partnership with BAM, that relates to sports. And we're going to be going at that very hard. And, remember, the reason why we think it's so compelling is that Netflix spends over $6 billion to $7 billion a year on content. We're going to be offering our sports content across Europe and our cost of content is zero because we're already making – our margins are already in the teens for Eurosport. And so this could be a very profitable business for us. It's not that different from the cable players that were able to build a business model on the coaxial cable and multichannel to the home and then being able to take a second bite at the apple and offer broadband without a lot of cost. And so we have to prove it out, but we think we have something quite strong. When it comes to science our auto, that's something we can offer globally and we can offer it direct to consumer, we can offer it through distributors because we already are the – we have a huge amount of that content in language, and we're just playing there with the best way to offer it. And we're having a lot of discussions with consumers about what they like, what they like about our content and how to package it.
Jessica Jean Reif Cohen: Thank you.
Operator: And that concludes today's question-and-answer session. Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone, have a great day.